Operator: Ladies and gentlemen, thank you for standing by. Welcome to the ASML Third Quarter Results Conference Call on October 15, 2014. Throughout today's introduction, all participants will be in a listen-only mode. After ASML's introduction, there will be an opportunity to ask questions. (Operator Instructions) I would now like to turn the conference over to Mr. Craig DeYoung. Please go ahead, sir.
Craig DeYoung: Thank you, Kirsten, and good afternoon and good morning, ladies and gentlemen. This is Craig DeYoung, Vice President of Investor Relations at ASML. Joining me today from our headquarters in Veldhoven in the Netherlands is our CEO, Peter Wennink and our CFO, Wolfgang Nickl. The subject of today's call is ASML's third quarter 2014 results. This call is also being broadcast live over the Internet at www.asml.com, and a replay of the call will be available on our website for approximately 90 days. Before we begin, I'd like to caution listeners that comments made by management during this conference call will include forward-looking statements within the meaning of the federal securities laws. These forward-looking statements involve material risks and uncertainties. For a discussion of risk factors, I encourage you to review the Safe Harbor statement contained in today's press release and presentation found on our website and in our Annual Report on Form 20-F and other documents as filed with the Securities and Exchange Commission. The length of this call will be 60 minutes and now, I'd like to turn the call over to Peter Wennink for a brief introduction.
Peter Wennink: Thank you, Greg. Good afternoon, good morning, ladies and gentlemen and thank you for attending our third quarter 2014 results conference call. Before, we begin the Q&A session Wolfgang and I would like to provide you an overview and some commentary on the third quarter results and provide our view of the coming quarters. Wolfgang will start with a review of our third quarter financial performance and will add some comments on our short-term outlook and I will complete the introduction with some further comments on the current general business environment and our future business outlook. So Wolfgang, if you will?
Wolfgang Nickl: Thank you, Peter and welcome everyone. Our Q3 revenue was slightly lower than anticipated at €1.32 billion, due to the shift of a couple of systems into Q4. Q3 sales was largely driven by foundry customers representing 50% of our system revenues versus the prior quarter, which was driven by system sales to memory customers. As anticipated, we recognized revenue for 2 EUV systems during the quarter. Our ASP came in at €29.5 million was €40.1 million last quarter, which was driven by high KrF and i-line content in our product mix. Service and field option sales drew again by about 10% over last quarter up to €438 million, which was driven by a number of high value of system performance enhancing options. Gross margin came in solidly at 43.7% compared to our guidance of approximately 42%. Product mix record options and service sales as well as cost control enable this over achievement. R&D expenses were in line with our guidance and SG&A expenses were slightly below our expectations. Turning to the balance sheet, at the end of Q3 we maintained approximately €2.7 billion in cash, cash equivalent and short-term investments. During Q3, we bought back 2.3 million shares for total of €165 million. Since the beginning of our program in 2013, we have now purchased 11.8 million shares through the end of Q3 for total of €776 million. Leaving us €224 million buyback authority and our current program ending in December, 2014. Regarding the order book, system bookings were strong at €1.4 billion, 75% of bookings came from the memory sector increasing now overall backlog by approximately 40% to €2.4 billion excluding EUV. Our systems backlog is now skewed and stable at the memory sector. With that, I would like to turn to our expectations for Q4 and share our initial views on the start of 2015. The strong memory bookings during our last quarter demonstrate a continued strength in this area, with year-end taking a prominent position, a slip sector [ph] of plans for capacity expansions in 2015, to offset capacity consumed by growing process complexity that comes with no [ph] strength. NAND customers are expected to continue to execute their plainer front roadmaps and capacity additions to meet expected steady bit growth demand in 2015. There are no clear capacity at plans for trading that. With Q3 shipment strength, foundry continues to build up of 20, 16 and 40-nanomenter capacity, through the end of this year. The timing and volume of the continued buildup of this node in 2015, appears now to be dependent on key business allocations by our customers, customers. Our estimate show that by the end of this calendar year about 175,000 wafer starts per month of 20, 16 and 40-nanometer capacity will have cumulatively shift. Please remember, that it takes approximately six months for this capacity to turn into real wafer output. The final capacity for the 20, 16 and 40-nanometer node will ultimately depend on end demand and the timing of the introduction of 10-nanometer. In addition to the expansion of 20, 16 and 40-nanometer capacity in 2015. We expect some additional shipment for the 28-nanometer node, as demand appears to continue to be growing for these processes. We also expect some early pilot system shipment for 10-nanometers in 2015. For Q4 this year, we expect total revenues of around €1.3 billion, which will make our full year revenue at least €5.6 billion. During Q4, we expect revenue recognition for 1 EUV system. Strengths and service and field option revenues will continue and we expect revenues in the low €400 million range for the next few quarters. We expect gross margin for Q4 to be around 43%. This was with result in full year gross margin of around 44%, a significant increase versus the prior year. R&D expenses for the fourth quarter will again be about €260 million. Well our target of €250 million per quarter in 2015 remains intact. SG&A is expected at about €80 million in Q4. We expect other income of approximately €20 million largely consistent of contribution from our customer co-investment program. With that, I would like to turn the call back over to Peter.
Peter Wennink: Thank you, Wolfgang. I would like to take a brief moment to review current set of trends further in relation to what, we saw last quarter. Wolfgang has highlighted the current landscape and our near-term view of 2015. In summary, we expect memory disk do well especially in the first half of 2015. With respect to our logic business, we have to deal with level of clarity around the geographical spread and the timing of leading extra capacity additions. In our view, this is coursed by the current competitive environment in the space and by more diverse probably customer base at the advance nodes. Which brings a specific and relatively new dynamic to this industry segment? With significant large pieces of such, leading edge business apparently yet to be awarded to our customers. These uncertainties should come as no surprise. On the other hand, 28-nanometer node capacity appears to be tighter than expected as the amount continues to grow for this node. We still see capacity grow in this area as the broader base of foundry players is making their 28-nanometer process technology available. On top of this strength, the fast pace of development of new processes continues and at least one customer, if accelerating their 10-nanometer process development in an attempt to gain competitive advantage and this is a positive way to now, as movements to and capacity builds off. These advance nodes are more lithography intensive. As mentioned the memory sector appears to remain quite healthy with bit demand trending at around 25% in DRAM and 40% in NAND into 2015. Technology node transitions continue to address most, if not at all of the bit supplied in DRAM. However, lack of capacity additions in recent years in light of more complex processes and logic [ph] dye, have reduced the installed wafer out capacity below a critical limit and in that light, it makes sense that some capacity additions are warranted and are expected to happen in 2015, which is evidenced by the announcement of new fabs into DRAM space. The first of these fabs taking the lithography new capacity tools in the first half of 2015. We see our NAND customers expanding their plain NAND shrink roadmaps in light of the current challenges in bringing the new 3D NAND architectures to market in high volume. With the effort, we do not expect any significant waiver capacity expansions in 3D NAND. However, we do expect to continue plain on NAND strings plus an additions of about 100,000 wafer starts per month, to grow bit supply to the expected 40% demand. As mentioned last quarter and the quarter before, I want to repeat that we strongly believe that the scaling and related near term technology challenges in logic and memory, create an increasing need for EUV in order to continue the cost effective scaling that has driven this industry for the last 50 years. Our lithography cost modeling continues to show that EUV can drive down imaging cost of critical layers and as add very likely as improve yields as a result of greater process simplicity. Additionally, cost reductions are also driven by reducing the number of all the process steps positively affecting its associated cost for clearing space, while reducing rerun and cycle time. And as to our EUV progress. We reported last quarter that we were able to supply customers with 200 wafer per day EUV capability. Now with all systems in the field upgraded to the latest source configuration. We are moving back to 500 plus wafers per day capability, which is been demonstrated at two customer sites and we are executing on our programs to reproduce this at the additional sites over several day runs to meet our targets by the end of 2014. Current demonstrated performance along with significant progress on multiple fronts of our wafer per day program, further boost our confidence in meeting our 1,500 wafer per day product for EUV production in 2016 and given this EUV progress. We continue working with one customer towards a mid-note insertion at 10-nanometer logic node, in late 2016, which will require shipments of our productions specified NXE:3350 starting mid-2015. In addition, we are discussing shipment planning of NXE:3350's with all our key customers. These will be used for initial learning in a manufacturing environment, which will allow additional time and EUV system availability to support further build out of EUV infrastructure. Also requiring shipment starting in second half of 2015. Given these combined scenarios, we expect to ship around six NXE:3350 systems in 2015 on top of NXE, three NXE:3300 systems which as we discussed last quarter will be upgraded to NXE:3350 Life configuration. Timing of revenue recognition of these systems will be determined based upon final terms and conditions of the commercial agreements that we are currently discussing with our customers. On top of our significant focus on EUV. Our overall product strategy is maxed to the broadest industry needs by delivering most competitive dry and immersion solutions possible to meet the needs of today's most complex, single and multi-pass patterning. First, we have now ship 42 of NXT:1970, which marks our fastest ramp of any new product ever and indicates, high customer recognition of the value offered by these scanners. Additionally and in support of our continued focus on bringing even more value to our customers. A TWINSCAN system operating at a memory customer imaged more than 1.5 million wafers in one year period becoming the second system to do so. And secondly with 11 YieldStar 250D systems shipped in the third quarter. We are now supplying, CD and overlaying metrology solutions to all key logic and memory customers. Our integrated metrology solution, which substantially shortens metrology cycle times and enhances manufacturing yields through feedback loops, was released this quarter to high-volume manufacturing at the large foundry. So in summary, memory sector remains healthy and node shrink and limited capacity additions are planned to grow bit output to do, require to demand levels in 2015. Logic demand continues to grow with 20-nanometer node, which increased competition at the 20, 16, 40-nanometer node is creating some uncertainty about the timing and geographical allocation of the capacity ramp, that is now as we entered into 2015. The re-performance improvements are moving nearly closer to production insertion, with manufacturing learning [indiscernible] logical next step for our most advanced customers. And finally, our continued focus on the broad spectrum of competitive solutions required by the industry of both wet and dry solutions, is creating ever more value in imaging and process control solutions. With that, we would be happy to take your questions.
Craig DeYoung: Thanks, Peter. Ladies and gentlemen. The operator will instruct you momentarily on the protocol for the Q&A session, but beforehand I would like to kindly as you to limit as we always do yourself to one question and one short follow-up, if necessary. This will allow us to get as many callers in as possible. Now Kirsten, could we have your instructions and then the first question please?
Operator: Thank you. Ladies and gentlemen. At this time we will begin the question-and-answer session. (Operator Instructions). The first question comes from Sandeep Deshpande from JP Morgan. Please go ahead.
Sandeep Deshpande – JPMorgan: Thanks for letting me on. My question is, on the EUV shipments into 2015, Peter you have talked about these NAND shipments into 2015. Is this including any production orders, already well you said that there is one customer which is potentially putting production, you've got some production orders or is there any further orders likely in 2015 for EUV production and how should we be looking at recognition, will this recognition occur, when the customer start shipping, actual production wafers in 2016 or you could even have recognition in 2015 itself?
Peter Wennink: Thank you, Sandeep for asking the questions. With respect to the shipments in 2015. These R&D -- shipments that we talk about, so you asked the question about the orders for production systems that we could receive in 2015. I will say, yes. We are planning to receive orders in 2015 for shipment in 2016. So like we said in the introductory statements, with one customers we are planning a mid-node insertion on the 10-nanometer logic node and that is a insertion late in 2016, but the first shipments to support that would been spot in the second half or let's say mid-2015 which will be in NXT:3350's. So yes, we do expect forward on, orders from that moment onward. On the revenue recognition, while we are discussing the terms are conditions with our customers today. You need to realize one thing that, we think it's very important that, our customers do recognize the value of those machines and those machines are average about €90 million or it is around €90 million mark. It is important that, well customers when we sign the deals actually have that value in mind. Now also clearly, we are discussing with the customers terms and conditions and some of those conditions have of course given the EUV history certain a performance criteria in that likely, now depending on the level of those performance criteria, we might recognize revenue later than we shipped the machine, that is currently under negotiation and depending on the final outcome of those terms and conditions and on the performance criteria that will be part of those terms and conditions. We will recognize that revenue, which could be 2016 and depending on some of those terms and conditions, could also be 2015, but is it's a bit speculative. As we have not yet finalized those commercial negotiations that will ideally happen for the first customers soon and soon, I will say in next couple of months. So I have to keep you a bit in the dark on a give specific answer on this as we have not finalized the discussions yet.
Sandeep Deshpande – JPMorgan: Thank you for your response.
Operator: Thank you. Our next question comes from John Pitzer from Credit Suisse. Please go ahead with your question.
John Pitzer – Credit Suisse: Yes, Peter. Good morning, thanks for letting me ask the question. I guess, my first question Peter is around the 14, 16-nanometer uncertainty that you're seeing right now. It seems very different than the clarity you and the industry had a year ago, as your customers were moving from 28 to 20 and I guess, my question is at what point, if there isn't some clarity, does it become I guess more clear that the 14, 16-nanometer volume production is more 16 event, than a 15 event and is there is a risk that, reuse from 20 down to thin set is contributing to some of the uncertainty that you're seeing right now.
Peter Wennink: John, actually we do think the ramp up, is 2015 event, it's not a 2016 event. When we look at the discussion that we have with customers and the plant shipment also for the first half of 2015, that number is actually up from the second half of 2014. So it was compared for six months 2015, to second half 2014 that number is up in the first half of 2015 for our logic customers and that will not go into 28-nanometer only. As too early for a 10-nanometer insertion that will probably be the second half of 2015. So as far as we're concerned and what we are seeing and customers are planning to ramp 16 and 14-nanometer impact in 2015, not in 2016.
John Pitzer – Credit Suisse: That's awesome, Peter and then for my follow-up, just getting back to the EUV. You guys have made some fairly steady progress throughout the year. I'm wondering, if you can give us your assessment of the EUV ecosystem outside the ASML and how you feel like that's progressing, what's the weak link, what do you worry about, as far as things you can't control and at some point, do you think about using some of your own money to help accelerate investment in other areas, that you think your customers, can bring other suppliers along?
Peter Wennink: That's a long second follow-up versus a lot of elements to it. Well, I'll try to cover everything. With respect to the ecosystem, the EUV ecosystem as it relates to the 10-nanomenter learning, manufacturing and the mid-node insertion. I think everything is there. So as for 10-nanometer is not the issue. If you would say, now you have to introduce today EUV for 7-nanometer then there are certain areas, where we still need to make progress and those are specifically in the mask inspection area; mask blank and patterned mask. And also, we would like to have further resistance has higher level of stability that can be used in the mask manufacturing environment. Now having said that, I think in the discussion that we have with our customers. They all believe, that those are elements of ecosystem that we can control and that will be available when we move into 7-nanometer mass production. With respect to your question "Do they need to put money in that ecosystem," well it's not for me to comment on what our customers, should or shouldn't do in that sense, but I'm pretty sure that when they look at the advantages of EUV customers and suppliers of the missing links, are going to sit together and they will find solutions. I'm pretty sure and have enough confidence in the discussions with our customers and with our colleagues in the industry that will happen. As to our own money, we do put some our own money into play, but when it comes to very close what we ship, what we make. For instance, the development of a pellicle which is kind of a, protection membrane in front of the photomask, that is something that we have developed and because you could argue and so much integral to our system inside our system that's what we did, but we do not intend to be a pellicle manufacturer somewhere down the line. We will probably hand this over to a company that is more I would say, adapt to this mass production of this pellicles, but yes we are putting some of our new money to work to make that happen. Now I hope I covered everything that you asked me in your question?
John Pitzer – Credit Suisse: You did, Peter, thanks. Very helpful.
Operator: Thank you. Our next question comes from Timothy Arcuri from Cowen and Co. please go ahead.
Timothy Arcuri – Cowen and Company: Thanks a lot. Peter, you have talked previously about the total volume demand for 2015, 14-nanometer being about 300,000 and now you're saying that, you shipped about 175,000 of that into the market granted it won't become productive volume until the middle of next year, but do you think that the A; do you think that 300,000 has changed and B; it seems like the 175,000 is a little bit ahead of where you had said last time. I was thinking more like 125,000. So I don't know something changed, where you got some orders. Now that choose farther into that 300,000 can you sort of go into detail on that. Thanks.
Peter Wennink: Long, word of warning is that, these nodes transitions currently are bit more complex than it were in the past and in fact, everybody went into near short time period from one node to the other. So it has become more difficult for us to see, when we ship a tool, whether the tool is being the used in the ramp up, that's either 20-nanometer node or a 16-nanometer thin set node or because of the 28-nanometer demand is, which is higher than the both. It's being used for 28-nanometer. Now that is, as you could say it's more crossover flow and now that we have ever seen before and that's a bit of a, that's a I would say caveat when we talk about how many wafer starts are in a particular node. When we said, 300,000 wafer starts and 175,000 what we have I must admit that today because of the caveat that I just spoke about, it is a bit unclear to what level that will indeed grow. Some of our people here look at the available FAT space for logic customers and they say, well you look at the available FAT space for logic customers. Somebody needs to come out and they need to, in any case announce an additional to get to 300,000 wafer starts because is not enough space available and that can be also and explained by the fact that, some of our customers that originally planned a FAT to be a logic FAT to do anything to do the ramp up. So they are always moving elements – it's a bit difficult to say, it's going to be 300,000 wafer starts because all this element which is because of from node to node, which is changes in customer allocations of their particular segment in which they want to produce chips from like logic to DRAM. Making difficult for us to say, it's going to be that particular number like I also said, FAT space is also a bit of a question and you have to put it altogether. Now looking at it from a holistic point of view. We don't have sincere doubts that 1,000 wafer starts can't be reached, but if you ask me when and especially in the converse of what we've already shipped. So how much are we going to ship over the next 12 months, that's very difficult to answer. So, no major doubts about that 200,000, but timing will be more difficult because of the issues that I just talked about.
Timothy Arcuri – Cowen and Company: Got it, Peter. Thanks so much.
Operator: Thank you. Our next question comes from Srini Sundar from Summit Research. Please go ahead.
Srini Sundar – Summit Research: Hi, thanks for taking the question. Could you give me some color on the bookings and backlog with the respect to the DRAM, NAND productions? I know, you don't break it out right now, but based on the locations could you may be as hazard guess, as to what might be reflection for DRAM and what might be reflection for NAND?
Peter Wennink: Yes, I think on as you said in the call, sorry in the introductory statements of this call that, place where we see some new capacity additions needed is in DRAM. NAND falls a pretty predictable fact of about 100,000 wafer starts additions. Last year which was about, what we did this year, which was about what we did in 2013, but where we see some let's say some acceleration of capacity is into DRAM space. So if you want to put a qualitative answer to your question, I think it's a bit more skew to what's DRAM in terms of the bookings then to NAND, but is not entirely clear, as you say because customers switch from one through the other, but that's what my answer would be.
Srini Sundar – Summit Research: Okay, as a quick follow-up, what kind of milestones do you have for the 10-nanometer implementation? Essentially, what would be the goal, no goal regarding EUV versus multiple patterning?
Peter Wennink: That's a simple one, that's 500 good wafers per day. That's what customers tells is only we can get 500 wafers per day, we will start. Yes and that means, clearly when they're moving to 10-nanometer in 2016, '17 that 500 wafers per day should be of course more and like we said, we have a target of 1,500. So customers should have their confidence that we can grow to 1,500 wafers per day, but I would say the hurdle is to 500 good wafers per day, that's what there was, start off with and then we will have enough confidence to get with our customers to get the 1,500 wafers per day and on the milestone, is any day, are confident at 500 wafers per day is sufficient to start the next milestone, is to get the orders in.
Srini Sundar – Summit Research: Okay, thank you very much.
Operator: Thank you. Our next question comes from C.J. Muse from ISI Group. Please go ahead.
C.J. Muse – ISI Group: Yes, good morning or good afternoon, whether. I guess first question is a follow-up to a prior EUV question. You talked about NAND shipment space case in calendar '15 curios, what your outlook is for potential upside to that number and where it would be driven by, is it primarily foundry or could we also see a handful of DRAM in there?
Peter Wennink: Yes, it's a good question. What we have seen is to get qualitative answer, what we are seeing is those customers that are most advanced in 10-nanometer development had to put more pressure on us to get EUV working. I deduce from that 10-nanometer is very difficult to do without EUV. Now good to upside to that number, we gave you a numbers and we are not going to change that number, but the upside would come from the realization of customers that when they move on with their development, that they run into this getting through the same physics issues as our leading edge customer has actually right into it and I think that could create upside. Whether that's an upside, there is an order or shipments early 2016 or late 2015, I don't know but what we have learned and let me tell you one thing, when we talk about customers. We don't talk about one [indiscernible], I mean what we get back from customers is that the R&D people as a customer side are more and more inclined to look for EUV, to solve that complexity issues. The operations people say that is fine, but then give you a solution that is reliable and that it can use even it is with low productivity, I can design in my production process. So those are the type of discussion that we don't only have with our customers, but our customers also have internally and that could drive upside, but I'm not willing and not changing the notes that we gave you today, but as give you a qualitative background.
C.J. Muse – ISI Group: Sure, that's helpful. And as I said my follow-up, I get the uncertainty on the 20, 16, 14 foundry given the 175,000 installed by the end of the year and we shipped on your part, but curios in terms of what you're seeing at 28-nanometer I believe the industry added roughly 70,000-80,000 wafer starts in '14 curios, what kind of additions you see there, where it appears as though it's primarily UMC's make quality as the only guys adding, we would love to I guess get your vision for spend there in '15.
Peter Wennink: Yes, I think you mentioned three names but as of three names and where we talk about multiple systems. So you talk about not a low a capacity number that we are, you know those are three customers that have the capability to buy multiple systems and put them to work it up and business for it. So it is not marginal, it is, it's a note that definitely grows says 200,000, 300,000 wafer starts for the month, that where that we see it and of course, I cannot go into the detail for our customer, what we are buying and we won't do that, but it's multiple system for a customer.
C.J. Muse – ISI Group: Very helpful, thank you.
Operator: Thank you. Our next question comes from Francois Meunier from Morgan Stanley. Please go ahead.
Francois Meunier – Morgan Stanley: Yes, thanks for taking the question. The first one is, you go to one slide showing that your laser now is working at 80 watts, which looks like good news to me. I'm just referring to slide from the Martin van den Brink that we with 80 watts you could actually do 1,000 wafers per day and also the old target of 69 wafers per hour. So is that something we can extrapolate from the 80 watts in your slides?
Peter Wennink: What you need to remember when we talk about 500 good wafers per day, we talk about average. So there will be days, when there is maintenance on the machine that's overtime on the machine, so in order to do 500 wafers per day reliably, you need to be over 500 wafers per day capability per day. So that's why Martin van den Brink said, under the light conditions and if we execute of our upgrade programs and our availability programs, then there will be days when we are close to 1,000 wafers per day, 500 per day but in order to get to the average, you need to have that that period. So it's all pretty much inline and in sync with what we are seeing.
Francois Meunier – Morgan Stanley: Okay, now maybe more macro question on the chip sector. I'm sure, you still have those access to the lithography machines which are in the field, have you seen any weakness in terms of capacity, utilization in some of the foundry's or IDM's given what we have some microchip last week?
Peter Wennink: No, we haven't seen that.
Francois Meunier – Morgan Stanley: Okay, thank you.
Operator: Our next question comes from Gareth Jenkins from UBS. Please go ahead.
Gareth Jenkins – UBS: Yes, one follow-up on in earlier question if I could? I just wondered, with the change in I guess FAT space or the sensitivity just narrow it out, Peter. I just wondered whether you could give us a sense of whether EUV will still have to be inserted at 16-nanometer DRAM and then just secondly, it's started to but in fact insurance on I think, I'm on NAND side, you said that you expected plainer NAND to come through early part next year, just wondered does that mean, there is more still to come through 3D NAND side, next year and therefore maybe some upside as we going through the year?
Peter Wennink: Okay, with respect to your last question. It is just what our estimation, what we see because we do not expect the 3D NAND capacity to run significantly next year. I mean, installed capacity that of course needs to be fully utilized. I think that will probably happen next year, but we don't plan that. So if there would be a need for as a lot of additional 3D NAND capacity, there would be an upside for us, that's not what we are currently planning and with respect to plainer, yes. We see the capacity additions that we are currently being asked, we are actually going into areas where, areas of 2D plainer production and that's where it goes. With respect to EUV insertion, 19-nanometer DRAM, you didn't ask 19, you asked 16, but 19-nanometer DRAM. We still think that customers can get around that with versus complex immersion about 16-nanometer it's our I believe also based on discussion with customer that we move into the EUV territory.
Gareth Jenkins – UBS: Thank you.
Operator: Thank you. Our next question comes from Kai Korschelt from Merrill Lynch. Please go ahead.
Kai Korschelt – Merrill Lynch: Yes, hi. Thanks for taking my questions. I had a couple, first one again I'm sorry about that to follow-on the EUV revenue recognition. So I'm just wondering, could we – could this end up being a sort of pro-rata revenue recognition depending on milestones and the situation or could it be a bit more binary outcome, where you either recognize majority of revenue for the tool then '15 or '16 or could it be smooth, I guess is my first question? And then the follow-up would be, on memory. On DRAM, I'm just wondering from your perspective how much is the current strength driven by mobile versus PC and the reason I'm asking is, if PC's were to soften again do you think that, it may impact demand for DRAM tools next year? Thank you.
Peter Wennink: Okay, with respect to the rev rec, it's speculative because we are negotiating those terms and commissions, so it could be oddly about you said or everything that you know mentioned, but that is a speculative answer, which I don't want to give really because it is about what will be able to negotiate with our customers and I would like to repeat what I said for us, it is very important that the customers the recognize the value of the machine and that they are also trying to manage their risks in terms of the introduction, in terms of the tool performance that are conditions, that which will have certain performance criteria is logical. Now how does you know in the end look and how severe those will be, we will just have to see for us the most important part is that, we have a deal within around €90 million or we are going to be €90 plus million. The old value that will be recognized matter of time and it is about, the introduction of EUV into manufacturing getting up to a learning curve, that's the most important because EUV is not about 2015 revenue recognition, is about 16, 17, 18, 19 and the next decade, which will drive the top line of this company. So it is all about that not so much about the rev rec of the first few things. And then to mobile answer, yes I think we sometimes discuss this with customers whether its mobile driven or PC driven, but in this particular case we simply don't have enough evidence and not enough intelligence to give you an answer and I don't want to speculate here also. So I'm afraid, I have to pass on to this answer.
Kai Korschelt – Merrill Lynch: Okay, thank you.
Operator: Thank you. Our next question comes from Andrew Gardiner from Barclays. Please go ahead.
Andrew Gardiner – Barclays: Good afternoon, thank you. Just sort of higher level question looking at into next year really, since past couple of years you guys have been willing to provide us with not only a one quarter ahead revenue guidance, but also slightly longer term. Normally, say for the next six months. This time around you haven't done that. I can appreciate the uncertainty around the foundry side given in decision in parts of the food chain, but it does seem certainly from an industry perspective and from what you're seeing of course there's spending will need to happen from one of the two parties involved. So if we combine that with backlog levels not seen since early 2011, it seems to be that you should have at least a good baseline from which to work for next year. So shouldn't this support year-on-year growth on an underline basis in the first half of next year, even before we consider EUV. Is this is reasonable starting spot a bit more details you can provide around, what you're classifying as a strong start to next year? Thank you.
Wolfgang Nickl: Let me take it. This is Wolfgang, Andrew. Indeed, there is not enough clarity, visibility and certainty to give you a number of, what probably can summarize a big from a qualitative perspective. It is a strong stop, but that clear is present by DRAM but it's also driven by the expansion and capacity on 2016, '14, but if you go by the different segments. DRAM and NAND, there is really no significant change, where you had a good quarter of this year and bit grow assumptions are pretty stable around 40 and NAND and about 25% in DRAM. So the year is overall, shouldn't look all that different. On logic foundry, non-EUV you heard about this really component. I mean, there is still significant build out on the 2016, '14 and then what people sometimes underestimate is that, we have still shipments on 28 and then Peter just told you this, several customers saw a significant shipment. Plus, customers are pushing very hard or at least one customers to 10-nanometer and as it really is possible was potential shipments, pile of shipments towards the end of the year as well. So we wouldn't be surprised, if that logic foundry is up year-over-year. Now EUV we have discussed a lot, that's the big wildcard. We know what we think, we will ship, but we don't know what we will recognize. In terms of IDM, we've also said that before on the current volume node, we had a strong year, this year and we had a little bit of a weaker year, next year but then we are ramping into the next node. So that should be a flattish and then what we, sometimes forget in these discussions field options and services have been improving over the years. So the timing is a wild card, the where and when is a wild card, but in general we feel pretty good they're about the year.
Andrew Gardiner – Barclays: Thanks, I appreciate that.
Operator: Thanks. Our next question comes from [indiscernible] from Bernstein. Please go ahead with your question.
Unidentified Analyst: Good morning, thank you. On EUV so, so it seems that during 2,500 with as far the end of the year, it is really it's a last critical milestone and find us great, because you need to increase a bit of your maximum through day and make sure that you can sustain that kind of level for several days. Could you take us through, what's going to be, what could be challenging in achieving that. So what are the technical difficulties that you're going to face, by having this under test during longer and then maybe take us through how you're going to manage that, if that's something you're doing internally in your own labs or is that something you particularly are working on as a member and how much control do you have on timing for that and maybe, what would be like the news flow we should expect from here on that front?
Peter Wennink: Let me answer the last question, first. How do we manage this? We manage this normally internally, but in very close cooperation with our customers. I mean, EUV is as important to use as it is to our customers or it is as important to our customers as it is to us. So on every side, where customers are getting really serious about the EUV putting into manufacturing environment. We have almost one team approach. We have to do this because it's complex, it's new somebody asked the question about ecosystem. We need to understand all [sevens] also, how it relates, if it relates to our the quality performance. So this is how we manage it, is not in isolation is very much with our customers and from news flow, will also come out of customers. News flow will be going forward and news flow about performance at customer sites. There will news flow about orders and that's what you need to look and that's what you can expect. Now in terms of what do you look at, in terms of making progress and what are the areas. Now we refer you to Slide 21 of our presentation. Slide 21 says, in fact when you want to improve wafers per day and how to make up to more than 500 wafers per day as three elements. It's the element of source power, it's the element of system availability, which is the source system availability and the scanner and the latter is more the integration of the source with the scanner. Now source power, as it has a four elements are specifically focused on in terms of the development programs and things that we did together with our customers, which is what we call the conversion efficiency, how much EUV light can you get out of the plasma, getting out of the tin and out of the CO2 laser. The drive laser power, which is just talked about the CO2 laser power is to those margin, how much EUV dose do you get stable out of the EUV plasma. It's the laser to droplet control, when we got the system [indiscernible] it's the automation which is basically metrology and the feedback systems. The lifetime of the collector, which actually we made a lot of progress on. The reliability of the droplet generator, which is you could say the tin machine gun, yes and the drive laser reliability. Those are again four programs that each have a defined and very specific set of engineers that are looking at this and integrate this into the system in the field and of course you have the scanner, which you could say is least of our problems, but there is a lot of integration and overhead innovation in terms of time between the source and the scanner. Now it's a long list, but it is in fact it's those 12 issues that are shown on Slide 21. All of them contributing to more than 500 wafers per day, more than 1,000 wafers per day and more than 1,500 wafers per day and this is how you need to look at it and you could argue, it's an old part of a chain, you know and they all need to improve. One has a bigger impact than the other, but it's still that it is, if you want to get to the ultimate 1,500 wafer per day or 2,000 wafers per day going forward, then those are the 12 elements that we constantly need to monitor, manage and make real progress on.
Unidentified Analyst: Thank you.
Peter Wennink: Okay, [indiscernible] thanks.
Operator: Thank you. Our next question comes from Weston Twigg from Pacific Crest Securities. Please go ahead.
Weston Twigg – Pacific Crest Securities: Hi, thanks for taking my question. Just wanted to clarify in R&D. a year ago, I think you indicated that quarterly R&D drops around €250 million a quarter, by the end of this year looks like you're guiding it to €260 million but I think you mentioned earlier on the call, that you still hope to get €250 million in 2015, so I wanted to clarify that is the case and see if you can tell us, when you would expect to hit that €250 million, a quarter number.
Wolfgang Nickl: Yes, certainly €250 million is the target for 2015, I got to tell you, also that a last chunk of our R&D is flexible. So it depends where you're on projects and programs that we are also doing with the outside world, also it could be one quarter could be a little bit higher, one could a little bit lower. So that's just fill the target. As I relates to Q4, we kept a bit higher because of all the process that we are having, we didn't want to limit any of the projects that are ongoing right now, but the target is consistent with what we have typical.
Weston Twigg – Pacific Crest Securities: Okay, good and then just to the follow-up on the DRAM side. Can you just clarify where you're seeing, which node I guess you're seeing the capacity expansion happen to end and could you tell us a bit, I guess I'm wondering about litho intensity, whether it's more spatial double pattern and based or litho edge patterning.
Peter Wennink: In DRAM, it's the complexity needs double patterning solutions it's 20-nanometer and we are moving into the 19-nanometer node for believing us, with also in DRAM you see customers having different programs. Yes, the most aggressive customers are moving into the 19-nanometer DRAM. Note there are still customers that are in the low 20. So this is the idea, but you're right. Those 19-nanometer devices they need to hold some double patterning layers and that is what lies at the litho intensity and it also creates a situation whereby the wafer out capacity of course goes down because you have more layers and you have more multi-pass patterning, so for a definition, if you don't build a new FAT, you have a few wafers out there in the industry, which is the reason I think, when the [indiscernible] customers are adding, some extra capacity to keep the wafer out capacity basically stable.
Weston Twigg – Pacific Crest Securities: Okay, good. Thank you.
Operator: Thank you. Our next question comes from Amit Harchandani from Citigroup. Please go ahead.
Amit Harchandani – Citigroup: Good afternoon, Peter. Good afternoon, Wolfgang. Amit Harchandani from Citigroup. Thanks for taking my question. My first question is really in terms of the improvement in progress that we are seeing particularly with respect to EUV over the last 12 months. To what, I understand you're closely working in cooperation with your key R&D suppliers. Going forward, do you see a need to increase your intensity level of cooperation or with any of the particular supplier or any particular pain areas that you see at this point of time within your supply chain, not necessarily making a move like (SIMA), but are there any areas still very good potentially increase the level of cooperation to accelerate the progress on EUV that would be my first question.
Peter Wennink: Okay, Amit. It's almost a rhetorical question, yes of course we need to increase the level of cooperation with our suppliers because there is always room for an improvement in that area, but I would say generally I would say that level of cooperation and the depth of the cooperation without the supplies is such that we don't need to go that much further, it is more about the clarity sometimes of roles and responsibilities in terms of the [ph] resolutional of some technical issues, but that's normal. We don't need to do anything else. I think, we are where we are. We need to intensify the efficiency, but not so much more suppliers or deeper level of cooperation. What we have should be good enough, we just need to move on to industrialization, which means that we need to move out of development stage with our suppliers into a predictable, industrial production environment and that will probably base on our experience gives us some additional challenges because when you go into volume, industrial production and you ran into new issues, but that doesn't meet any deeper cooperation. It just needs as a better and an efficient more efficient cooperation, once we move into volume.
Amit Harchandani – Citigroup: Okay and just as a quick follow-up. Given the new scenario, you have outlined EUV for 2015, does that in anyway alter your build plan for EUV for 2015 because I understand earlier year to scenario even as highest 12 to 15 to based on what you see today, the level of uncertainty firstly on the foundry site, does that in anyway change your build plans and how do you go about, thinking about building these tools over the next six to nine months?
Peter Wennink: Well, it hasn't really changed in the sense that, where we said one system per month, but then we just started. We knew this six months later, so it changed the build plan in the sense that we asked the modules and the parts to come in six months later, that's what we mean. So not really, not from a mental change.
Amit Harchandani – Citigroup: Thank you.
Operator: Thank you. Our next question comes from Aditya Metuku from BAML. Please go ahead.
Aditya Metuku – BAML: Hi, good afternoon, gents. My questions have lastly been answered, just a quick question on EUV gross margins if you could comment on those next year? How do you see the progression and a question on and if you could clarify the tax rate? Your tax rates in the last couple of quarters have been better than we have been expecting that would be very useful, thanks very much.
Wolfgang Nickl: Yes, I mean in terms of EUV gross margin. We are in general terms, we are still on the track that once we are in volume production, someone two years or so after we introduced 3350 and shipped the 3350, we shipped it somewhere along the 40% mark and the next year is going to be better depends a little bit on these terms and conditions as well. Going to be much better than we have in the current year and we are always, we are shooting for the 20% range, so hopefully be somewhere in that range and the second part of your question, was to regarding the tax rate. We've always said, you should model around 10% for your longer term model, the last two years where driven by one-time events, that was up 1% and the year we're currently in, we're expecting somewhere around 6% or so because some of this [ph] [SIMA] related effects carry into 2014 as well. So 6% is the year and then I would put 10% in the model from '15 off.
Craig DeYoung: Sorry. Let me break in here and just suggest that we have time for one last call and anybody who is unable to ask, their question as or have remaining question, feel free to contact the investor relation group and we will do our very best to get back to you as quickly as possible. So now (Kirsten), if we can have the last question please.
Operator: Thanks. Our final question comes from [indiscernible] from Deutsche Bank. Please go ahead.
Unidentified Analyst: Hi, there. Thanks for taking my question. Wolfgang you mentioned a good growth in field services as an options. I was just wondering, generally how we should think about that going into next year. I mean, there is probably already a pretty good tax rate for a lot of the field options, with the new tools you're selling. How should we think about that and then also in the installed base, how much more room is there to grow that? Thank you.
Wolfgang Nickl: Yes, we think you should model that in the lower 400, this year it will be somewhere around 400 and then it will flow into the low 400 and yes, it's driven by service, it's driven by options and it although by bigger operate, that we are doing in the field right now.
Unidentified Analyst: That's helpful. Thank you.
Wolfgang Nickl: You're welcome.
Craig DeYoung: Alright, everybody on behalf of ASML Board of Management I would like to thank you for joining us in the call today. Operator, if you could formally conclude the call, I would appreciate it thanks.
Operator: Ladies and gentlemen. This concludes the ASML third quarter 2014 results conference call. Thanks for participating, you may now disconnect.